Operator: Good morning, everyone and welcome to the F.N.B. Corporation Fourth Quarter 2024 Earnings Call. All participants’ will be in listen-only mode. [Operator Instructions] Please also note today’s event is being recorded. At this time, I would like to turn the floor over to Lisa Hajdu, Manager of Investor Relations. Ma’am, please go ahead.
Lisa Hajdu: Good morning and welcome to our earnings call. This conference call of FNB Corporation and the reports that filed with the Securities and Exchange Commission also contain forward-looking statements and non-GAAP financial measures. Non-GAAP financial measures should be viewed in addition to and not as an alternative for our reported results prepared in accordance with GAAP. Reconciliations of GAAP to non-GAAP operating measures to the most comparable GAAP financial measures are included in our presentation materials and in our earnings release. Please refer to these non-GAAP and forward-looking statement disclosures contained in our related materials, reports and registration statements filed with the Securities and Exchange Commission and available on our corporate website. A replay of this call will be available until Wednesday, January 29, and the webcast link will be posted to the About Us, Investor Relations section of our corporate website. I will now turn the call over to Vince Delie, Chairman, President and CEO.
Vince Delie: Thank you and welcome to our third quarter earnings call. Joining me today are Vince Calabrese, our Chief Financial Officer; and Gary Guerrieri, our Chief Credit Officer. FNB reported fourth quarter operating net income available to common shareholders of $136.7 million, or $0.38 per diluted common share. This brings our full year, 2024, operating EPS to $1.39 reflecting the successful execution of our strategic objectives. In 2024, FNB generated year-over-year loan growth of 5% and robust deposit growth of 6.9%. These results occurred throughout our diverse geographic footprint, materially outpacing the industry as we continue the leverage the strength of our technology, balance sheet and capital base as well as our team of frontline bankers. Non-interest income continues to grow, achieving yet another record level of $350 million highlighting our diversified business model and robust suite of products and services. We further strengthened our balance sheet and achieved a record CET1 ratio of 10.6% and increased tangible book value per share 11% to a record of $10.49. FNB remains focused on optimizing our balance sheet to drive shareholder value and best position the company for future success. As part of that commitment, we recently completed the sale of approximately $231 million of available-for-sale securities yielding 1.41% and reinvested the proceeds into securities yielding 4.78%, a 337-basis point improvement with a similar duration and convexity profile. FNB also issued $500 million of senior debt in December and received favorable execution relative to similar issuances by peers signifying the confidence that fixed income markets have in FNB sustained profitability, credit quality and overall balance sheet strength. FNB has demonstrated tremendous success building a valuable deposit franchise with superior market share throughout our footprint and robust physical and digital tools. We now hold the top five deposit share in 50% of our markets and top 10 deposit share in over 80%. Deposits ended the year at $37.1 billion an increase of $2.4 billion from the prior year. We continue our focus on growing deposits while managing the overall cost of funds. In the Q4, deposits increased $336 million linked quarter with total deposit costs at 2.2% which is expected to meaningfully outperform peers. We continue to build out our technology to assist consumers. FNB recently invested in a FinTech which provides technology that will be embedded into the eStore to enable our customers to instantaneously move their direct deposit and reoccurring transactions to FNB. We expect an improved onboarding process with fewer obstacles to drive greater success at becoming our customers' primary bank. FNB's strong loan and deposit growth in 2024 outpaced the industry based on the H8 data, more than doubling the large banks and more than tripling small banks full year growth. The strategic investments in our delivery channel have created the opportunity to deepen customer relationships, gain market share and further outperform our competitors. December marked the one-year anniversary of introducing deposits into the eStore Common App, allowing customers to apply for up to 30 consumer loan and deposit products simultaneously. We are seeing impressive adoption. For example, since the launch of the eStore Common App and when comparing volume to pre-launch levels over the same period, average monthly consumer loan application volume is up 41% and average monthly consumer deposit application volume is up nearly 30%. In addition to the functionality gained from our FinTech partner, additional enhancements to the eStore are scheduled for 2025, including features for insurance, small business and middle market commercial banking, providing new growth opportunities and continuing our momentum in non-interest income, which reached an all-time high of $350 million in 2024. We recognize the benefit of having diverse revenue streams and we will continue to invest in products and services to increase non-interest income as well as relationship-based deposits. Our team has had great success identifying and introducing new high-value business units that complement our existing products and services. During the last 10 years, our wholesale and consumer banking groups have established or significantly expanded eight business lines that are now multimillion dollar revenue generators, providing us with high returns on investment and additional granularity in our fee income composition. In the face of continuously reducing consumer banking fees, these new products and offerings have contributed to a 10-year compounded annual growth rate of more than 9% for non-interest income, while creating additional value for our clients. Looking forward to this year, FNB is expanding our capital markets offerings to include commodities hedging, public finance and commercial investment banking services with plans to further enhance fee-based business products for treasury management, merchant services and payment capabilities. As we continue to grow and expand FNB, it is vital that we maintain a durable and scalable infrastructure that can be leveraged both as a competitive advantage and to meet regulatory requirements. Our comprehensive risk framework is a key consideration in executing our business strategies. This year FNB has taken steps to strengthen internal processes, risk management and government practices as well as introduce automation to increase efficiency, reduce fraud and create cost savings. We are leveraging our data infrastructure and technology investments to build out automation and dynamic scorecard reporting for a variety of our operational units that will enable us to drive productivity enhancements in real time. We believe this step is necessary to fully engage software automation as we move into the future and continue to drive efficiency. FNB's approach to credit risk, a component of overall risk management has provided strong and stable asset quality that has outperformed peers through various economic cycles. Our credit performance was solid in what has been a shifting economic environment. I will now turn the call over to Gary, who will provide a review of overall credit performance. Gary?
Gary Guerrieri: Thank you, Vince, and good morning, everyone. We ended the quarter year end period with our asset quality metrics remaining at stable levels. Total delinquency ended the quarter at 83 basis points, up 4 bps from the prior quarter with NPLs and OREO at 48 basis points, up 9 bps. Net charge-offs totaled 24 basis points and 19 basis points for the year, reflecting solid performance in the current economic environment. Criticized loans were down 27 bps on a linked quarter basis, reflecting continued improvement across the portfolio. Total funded provision expense for the quarter stood at $23.2 million supporting loan growth and covering charge-offs. Our ending funded reserve stands at $423 million, an increase of $2.6 million ending at 1.25%, unchanged from the prior quarter. When including acquired unamortized loan discounts, our reserve stands at 1.34% and our NPL coverage position remains strong at 285%, inclusive of the discounts. The non-owner CRE portfolio credit metrics continue to remain at satisfactory levels with delinquency and NPLs at 99 basis points and 84 basis points, respectively. Throughout 2024, we reviewed approximately $1.8 billion of the non-owner CRE portfolio that had matured or was in the process of maturing, with approximately $600 million completed in the current quarter. Additionally, approximately $2 billion of the non-owner CRE portfolio was reviewed in the quarter through our ongoing loan risk rating assessment process. We are pleased with the outcome of the reviews with a slight reduction in criticized loans. We also took aggressive action on certain credits that should position a portfolio well going into the year. As part of this proactive approach to managing credit risk, we've reduced the non-owner CRE portfolio exposure by approximately $300 million in the quarter, ending the year at 220% of total risk-based capital. We continue to perform targeted reviews of other portfolios each quarter, along with the full portfolio stress test. Our stress testing results for this quarter have been consistent with prior quarters, with our current ACL covering over 90% of our projected charge offs in a severe economic downturn, including in the recent quarter where we applied an additional shock on non-owner occupied CRE. In closing, our credit metrics ended the year at solid levels, with our loan portfolio continuing to perform as expected in the current economic environment. Our ongoing investments in credit risk management systems, analytics, and staff allow us to quickly identify risk and take proactive actions. We look forward to achieving prudent loan growth in the year ahead, while remaining consistent in our core underwriting and credit philosophy. I will now turn the call over to Vince Calabrese, our Chief Financial Officer, for his remarks.
Vince Calabrese: Thanks Gary and good morning. Today I will focus on the fourth quarter's financial results, including details on the investment securities restructuring completed in November, the debt issuance and the renewable energy investment tax credit finance transaction, as well as walk you through our guidance for the first quarter and full year of 2025. Fourth quarter operating net income totaled $136.7 million or $0.38 per share when excluding the $34 million pre-tax loss on the investment securities restructuring. As part of our ongoing balance sheet management strategies, $231 million of lower yielding securities were sold during the 4th quarter. Proceeds were reinvested in securities with an average yield of 4.78% with similar duration and convexity profile. Because the sold investment securities were in available for sale with the unrealized loss already reflected in AOCI, the realized loss did not incrementally impact tangible book value, which increased 10.8% on a year-over-year basis to a record at $10.49 per share. In December, FNB further enhanced its balance sheet flexibility and liquidity position by issuing $500 million of senior notes maturing in December 2030. The new debt will serve as a replacement $450 million of senior and sub-note maturities occurring in the latter half of 2025. The fourth quarter's performance also includes contributions from our commercial leasing team who originate renewable energy financing transactions as part of their business model. In the fourth quarter, the company recognized renewable energy investment tax credits of $28.4 million as a benefit to income taxes from a solar project financing transaction. This was partially offset by related $10.4 million pretax non-credit valuation impairment on the financing receivable, which is included in other non-interest expense. While we continue to have an active pipeline in the renewable energy sector, closings can be difficult to predict given long construction lead times. Total assets at year-end 2024 were $48.6 billion up 5.3% for the year. Fourth quarter total loans and leases increased $222 million or 0.7% linked quarter, ending the year at $33.9 billion Consumer loan growth of $240 million was led by residential mortgage, which remained strong despite rising interest rates. Commercial loans and leases were essentially flat reflecting reduced line of credit utilization, scheduled reductions in CRE to the permanent market, and lower capital investment levels somewhat offset by strong production in equipment finance and renewable energy project financing. Full year 2024 spot loan growth was $1.6 million or 5%, reflecting the $431 million auto loan sale in the third quarter. Commercial loans and leases growth of $667 million or 3.3% benefited from both our geographic footprint and diverse lines of business. For example, the Carolina markets generated over half of the total commercial loan growth for 2024 further demonstrating the value of our investments in higher growth markets. Consumer loans grew $949 million or 8% on a spot basis in 2024 with residential mortgage growth driving the increase. Total deposits ending December at $37.1 billion an increase of $336 million or nearly 1% linked quarter. Spot interest bearing demand balances grew 4.2% linked quarter driven by strength in interest bearing check-in and money market balances. Time deposits declined 2.2% linked quarter to $7.5 billion driven by reduced levels of brokered CDs given the overall continued strength in deposit generation. Average non-interest-bearing deposits were essentially flat linked quarter and the mix of no- interest bearing to total deposits at quarter end was 26.3% compared to 26.8% last quarter, reflecting the strong interest-bearing deposit growth and stable non-interest-bearing demand deposits. Success of our ongoing balance sheet management and deposit gathering initiatives led to a loan-to-deposit ratio of 91.5% at year end, a more than 160 basis point improvement from year end 2023 and over 500 basis point improvement from peak levels in mid-twenty 24. Fourth quarter net interest income totaled $322.2 million a slight decrease of $1.1 million from the prior quarter. Average earning assets were up $360 million linked quarter on higher investment securities and liquidity balances. Average loans rose only slightly linked quarter given the impact on consumer loans from the auto loan sale completed in the third quarter. Earning asset yields decreased 17 basis points to 5.34% as the Federal Reserve interest rate cuts that began in September impacted variable rate loan resets. Offsetting this impact was a 21-basis point increase in the securities portfolio yield to 3.38%, driven by the portfolio restructuring. Interest bearing deposit costs decreased 8 basis points linked quarter to 3% and costs on borrowings declined 37 basis points to 4.79%. Our total cumulative spot deposit beta since the Fed interest rate cuts began in September 2024 equaled 16% at year-end 2024 versus our 15% expectation provided on the third quarter call. The resulting fourth quarter net interest margin was 3.04%, down 4 basis points linked quarter. Average rates paid on time and money market balances declined throughout the quarter, bringing the December net interest margin 1 basis point higher than the margin for the full quarter. We continue to strategically lower deposit pricing in step with the downward trend in the Fed funds rate, and we expect a relatively stable net interest margin in the first quarter of 2025 dependent on Federal Reserve actions. Turning to non-interest income and expense. Non-interest income was $50.9 million or $84.9 million on an operating basis when excluding the impact of the securities restructure. Mortgage banking income rose $1.4 million linked quarter, which included a mortgage servicing rights valuation recovery, partially offset by lower gain on sale margins given the sharp increase in mortgage rates during the fourth quarter. Capital markets income benefited from higher syndication and swap fees as well as strong debt capital markets and international banking revenue. Non-interest expense totaled $248.2 million a $14 million increase from the prior quarter on an operating basis. Approximately $10.4 million of the linked quarter increase was driven by expenses related to the renewable energy tax credit transaction mentioned earlier. Salaries and employee benefits expenses were up $1.9 million linked quarter reflecting higher than expected employer paid healthcare costs that were $6 million higher due to an increased volume of high-cost claims, which was partially offset by lower production and performance related variable compensation. Strategic hiring associated with our focus to grow market share and continued investments in our risk management infrastructure also continued this quarter. The efficiency ratio remained solid at 56.9% for the fourth quarter and we continue to manage our expense base in a disciplined manner, which is expected to result in a significantly improved operating leverage performance in the second half 2025. FNB's capital levels reached all-time highs. The CET1 ratio at 10.6% and tangible common equity ratio at 8.2% providing flexibility to deploy capital to increase shareholder value. On a year-over-year basis, tangible book value per common share increased to $1.02 or 10.8% to $10.49 demonstrating our commitment to strong internal capital generation. Let's now look at the guidance for the first quarter and full year of 2025 starting with the balance sheet. For full year 2025, period-end loans and deposits are expected to grow mid-single digits versus year end 2024 as we continue to increase our market share across our diverse geographic footprint. Full year net interest income is expected to be between $1.345 billion and $1.385 billion with the first quarter expected between $315 million and $325 million. Our guidance assumes a 25-basis point rate cut in March and another 25-basis point rate cut in June. Non-interest income for the year is expected to be between $350 million and $370 million dollars with the first quarter expected in the range of $85 million to $90 million. This is inclusive of the new capital markets and treasury management product offerings Vince mentioned earlier. Full year guidance for non-interest expense is expected to be between $965 million to $985 million representing a 4.6% increase at the midpoint when excluding the tax credit related expenses in the fourth quarter of 2024. First quarter non-interest expenses are expected in a range of $245 million to $255 million. This compensation expense is seasonally higher in the first quarter due to normal long term stock compensation and higher payroll taxes. The 2025 provision expense is expected to be between $85 million and $105 million dependent on net loan growth and charge off activity. Lastly, the full year effective tax rate should be between 21% and 22%, which does not include any investment tax credit activity that may occur. Before I turn the call over, I would like to congratulate Vince Delie as he moves into his 20th year of service at FNB. During his tenure, he has successfully led FNB through multiple economic cycles and some of the most challenging times our industry has faced. His visionary leadership guided FNB to grow from $5 billion in assets to nearly $50 billion catapulted FNB as an industry leader in digital banking tools and data analytics and developed a culture that values teamwork and doing what is right for all stakeholders. Vince was recently named the 2024 CEO of the Year by the CEO Magazine, a well-deserved award. This recognition builds on the multitude of awards FNB has achieved under Vince's leadership. Among the long list of honors, we are especially proud to have been named to list of the best, most trusted, and most admired companies in the U.S. and around the globe by prominent organizations such as Forbes, Time, and Newsweek. We have received more than 100 Greenwich Excellence and Best Brand Awards in just over a decade, a President's E Award for export service, and gained consistent national and regional recognition as a top workplace now having earned more than 70 awards as a leading workplace based on employee feedback. And in addition to our highly rated mobile banking app, we have garnered both international and national acclaim for our omnichannel banking platform led by our innovative eStore and clicks-to-bricks strategy. On behalf of the FNB team and our Board of Directors, thank you, Vince, for your dedication in leading FNB.
Vince Delie: Thanks for the kind words, Vince. My 20 years at FNB have been some of the best of my professional career and it's largely due to the dedication of my executive team and all of our employees. Every organization has a leader, but very few have the quality people that we have at FNB, which makes all of this possible. So, thank you. Reflecting back on 2024, we achieved new milestones and set new records, all while bringing value to all of our stakeholders. FNB celebrated its 160th anniversary, moved into a new 26 story state of the art headquarters in Pittsburgh's Lower Hill District neighborhood and expanded our digital capabilities in our mobile application and the proprietary eStore in common application, where we continue to lead the industry in customer engagement. We generated quality loans throughout our footprint, while upholding our conservative and consistent underwriting standards. Deposit growth was peer leading and led to a 500-basis point improvement in our loan-to-deposit ratio from the peak during the year. We also diversified revenue streams to achieve record non-interest income, strengthened our balance sheet with a record CET1 ratio of 10.6%, grew tangible book value 11% year-over-year, achieved an operating return on tangible common equity of 14.5% and continued our conservative risk management practices across all lines of business. I want to thank our teams for their contributions and our shareholders for their continued support as we celebrate our 2024 milestones and build on our momentum in 2025. Thank you. And we will now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Daniel Tamayo from Raymond James. Please go ahead with your question.
Daniel Tamayo: Thank you. Good morning, everyone. Maybe first on the fee income initiatives that you mentioned, Vince, and how they factor into the guidance this year. Just curious timing on those investments and initiatives and kind of your thoughts around what may be ultimate growth prospects for those new businesses and investments?
Vince Delie: Sure. A portion of the investments already been recognized from an expense run rate perspective because we brought some people online and reflected in the expenses, reflected in the guidance as well. We've had pretty good success starting several of these businesses, particularly in the capital markets line. And I think we began the debt Capital Markets Group and we immediately began generating revenue. So that became pretty much neutral in year one, enough revenue to offset the expense that we brought on. I would expect the same to be true of several of the business units that we're starting out public finance, for example. We're starting to build out that team. I would expect that to begin to generate revenue in 2025 and the breakeven point is fairly quick for us and then we shift over in 2026 into some pretty attractive turns in that business in particular. In the investment banking and advisory business, the same is true. That's a little bit different, but we've identified a group that we're going to bring on. And I would expect that to begin to generate revenue immediately, because if there's an ongoing business stream and clients associated with what we're doing there. So all in, I don't see it being incredibly accretive to earnings year one. But in 2026, I would expect it to be meaningfully impactful. So we're pretty excited about those two areas in particular. And then in terms of just building out the existing businesses, we've added commodities hedging to our derivatives program. We have actually built out our syndication’s capability. So that's starting to move even further in the right direction. And we did pretty well this quarter. Record level of lead syndications for us. So as our scale has increased and our balance sheet has increased, it's given us the ability to pursue larger transactions with bigger fees associated with it. So that's been a positive for us and we've really benefited from the build out of that syndications team. That's our strategy create a number of areas to support our clients, but also to provide the company with a very diverse set of fee income sources. And I think it's played out pretty well for us. I mean, you can see it over time. We've grown that, as I said, 9% on a compounded annual basis. And I would expect us to continue to do well in '25 and into '26 in a number of categories. So, we're pretty excited about that.
Gary Guerrieri: Yes, I would just add to the incremental cost to start these is very small. And as we talked about in Vince's comments, we have eight businesses that we've started and expanded and quickly even the ones from scratch become $1 million plus revenue businesses quickly. So meaningful.
Vince Delie: In bringing everybody together in our new facility, we have a trading we have a capital markets area, it's really exciting. It makes it easier to recruit people. As we bring them in, they could see our full capabilities on display. If you ever get a chance, I'd encourage you to come and visit. So it's pretty impressive.
Daniel Tamayo: I guess maybe just a follow-up, you talked about the costs associated with those and how some of them have been incurred already and maybe some of them are not as meaningful as we think. But the guidance for 25%, you talked about calling for a little less than 5% growth, on the expense side. Just curious the primary drivers of that. And then I think you talked about some cost savings initiatives on the call last quarter. Just curious if there's still a plan or an outlook for some initiatives that might drive that expense growth rate down into 2026?
Gary Guerrieri: Yes, let me just start with the fourth quarter, right? So we came in at $248 million was above our range, which was $225 million to $235 million. And really two items that drove that, the $10.4 million valuation impairment charge that we mentioned related to the investment tax credit offset a piece of the $28.4 million tax credit. And then we had a $6 million increase in healthcare costs that came in just an increased number, 50% increase in kind of the high-cost claims above $100,000. So, those two things kind of affected fourth. So, as far as kind of run rate going into next year, you won't have the $10.4 million and the $6 million. I think the claims will still be a little bit higher than what we expected for 2024 when we started the year, but it will definitely be down quite close to 10% kind of actual '24 to '25. So that's kind of baked into the guidance. Things like as we approach $50 billion there's high standards requirements that are out there. So we've been working on that for a couple of years and there's probably a couple of million dollars of expense that was in there in '24. We'll have probably similar increase in '25. Again, this is all baked into the guidance. And then it stabilizes as you get into '26. So as we just kind of build out some of the first and second lines of defense.
Vince Delie: Yes. And I'd say you're seeing that. That's why the expenses are elevated. You're seeing the build out of the risk management area to comply with heightened standards. That's happening -- has been happening. Otherwise, our efficiency ratio would have been in a much better position. And I would expect as we move through 2000, there's more spend coming, it's reflected in the guide, which is why we're guiding I think on a core basis 4%, right, expense growth. So that's reflected. It would have been better. I mean, there are a number of expense initiatives that we're pursuing to offset that expense build, which keeps it under 5%, 4%. So as we move into 26%, we would expect to be at least have the operating expenses, the salary expense reflected in the run rate for those compliance issues.
Gary Guerrieri: And I would just remind everybody, first quarter we have a seasonal increase from restarting the year of payroll taxes and restricted stock that happens every year in the first quarter. That's $12 million to $15 million of expenses that you'll see fourth quarter to first quarter. Again, that's all baked into the guidance. And then the cost saving initiatives, every year, as you know, for I don't know how many, 5, 6, 7 years, we've had a meaningful cost saving target, comes out of a variety of which areas vendor negotiation, space optimization, facilities optimization and just continuous process improvements, leveraging AI and other automation tools that we have with companies. So and we fit that every single year. So that's part of how we fund some of these additional expenses and new initiatives.
Daniel Tamayo: Okay, great. Well, thank you for taking my questions.
Operator: Our next question comes from Russell Gunther from Stephens. Please go ahead with your question.
Russell Gunther: Hey, good morning, guys. Wanted to start on the margin and just get a sense for how you're thinking about deposit cost progression over the course of the year. It looks like the guide has you matching loan growth and deposit growth. So just trying to get a sense for what the competitive pressures on the deposit costs will be. And if you could just kind of tie that into the net new margin or spread, touching on where your new commercial loan yields are coming in?
Gary Guerrieri: Yes, I would say Slide 15 does a good job kind of looking at the different levers that we have as far as balance sheet repricing. Just kind of as a reminder, at our cumulative update of we finished at 39.8% since what we had been procrastinating, we outperformed the peers on the way up by 8 percentage points for total deposits and 6 percentage points on interest bearing deposit data basis. Our team, I think, did a very good job managing deposit costs on the way up, kind of, customer by customer, established a good plan that has pivoted to start going down. So, our goal would be to outperform again on the way down. The timing of it, right, it matters obviously. But from an overall beta perspective, we're still comfortable with kind of a cumulative down beta in the mid-30s by the end of this year, kind of in the low to mid-20s is kind of what we're forecasting. To date, we've lowered our best rates on CDs and money marketing down by 100 basis points to 125 basis points. So, the Fed's moved 100 basis points, we've moved those, kind of locked up a little bit more. Our guys every day are working on kind of optimizing the deposit cost. But keep in mind too, we're still growing deposits, so that's been a focus for us to bring our loan-to-deposit ratio down. So the balancing act of still growing deposits and bringing down the deposit rates will continue. And our guys are monitoring the competitors, monitoring the elasticity with our customers and just kind of continue to work it down. So that's all baked into the guidance. We have two Fed cuts in their, March June as our guidance slide says. So it's just a very active process and again the goal will be to outperform on the way down.
Russell Gunther: I appreciate the color, Vince. Thank you. And then just last one for me. I appreciate the market share stats you shared earlier, top 5 in 50%, top 10 in 80%. Maybe just touch on specific markets you'd like to increase that share and how you plan to go about it touching on M&A if that is something you'd look to do in 2025? Thanks guys.
Vince Delie: Well, I'm going to go on the record of saying I would want to be an investment banker today. So I said I wouldn't want to be an investment banker a couple of years ago. I think that's all changed. I think that we're headed into an environment that permits M&A to occur naturally. And I think it's a healthy thing in the industry as smaller banks try to achieve scale and it helps all the way around the board, helps the shareholder, helps clients, obtain capital and creates efficiency. I think we're back to more M&A activity. Having said that, FNB is still going to focus on the same strategy, which is the optimal deployment of capital. So we're going to look at a variety of ways to deploy capital, not just M&A. I think we've broadened our footprint. You asked about what markets we're most interested in. We're going to continue to build out our presence in the Carolinas and in the Southeast. We have tons of potential to continue to grow deposits, particularly in Charlotte and Raleigh and the Piedmont Triad. I think we've only scratched the surface. As we build out our product set and TM in particular, there's a tremendous amount of upside for us because we're established. We've had bankers in the market for five plus years and our brand awareness has improved dramatically. So there's significant upside there. I think in the mid-Atlantic region, particularly in Washington DC and Northern Virginia, there are opportunities for us. We continue to expand from a de novo perspective in those markets and build out our delivery channel. I think there's upside in those markets from a deposit perspective. And then moving into our more traditional markets, we've done a really good job in Pittsburgh and we're north of $1 billion in total deposits. We're number 2 in true retail deposit market share excluding global custody of banks that have large brokered portfolios. So I think we'll continue to focus on the areas that are more mature for us to drive deposit growth. Again, there's plenty of opportunities. So there are some very large players that control big chunks of market share that are much, much larger than us and we have an opportunity to grow our deposit base in Cleveland and Pittsburgh and Baltimore. Yes, and the digital investment on the consumer side, flipping over to the consumer side, we've invested pretty heavily in the eStore, in the platform. Most of our focus has been strategically placed client acquisition, ease of acquisition of clients. So, the eStore concept itself where you can purchase up to 30 consumer products simultaneously, loan and deposit products by filling out one application as an example. We are continuing to add to that platform. We will have capabilities this year that will permit us to move repetitive payments that occur ACH transactions that occur in checking accounts, direct deposit will be moved instantaneously. So when a customer comes in, opens an account with us through the eStore, through an investment we're making with a FinTech company partner that we picked up along the way, we're going to be able to move those things immediately. That's going to have a meaningful impact on our ability to maintain our client primacy as we call it, which helps grow non-interest-bearing deposits and improve the margin over time and also grows fee income, positive good fee income in the consumer bank. So those are the things that we're doing to drive share. I think, geographically, we're in a pretty good spot. And certainly, the focus will be on the areas that I mentioned. Virginia, the Washington DC area, continued growth in the Carolinas and taking advantage of the more mature markets where we have increased brand recognition. Anyway, that's the strategy. I think we're sitting in a very good position to continue to achieve our objectives moving into 2025 and 2026.
Russell Gunther: I appreciate it guys. Thank you.
Operator: Our next question comes from Kelly Motta from KBW. Please go ahead with your question.
Kelly Motta: Hi. Thank you so much for the question. I guess, kind of just stepping back and thinking through, operating leverage, I believe your prepared remarks said you expect positive operating leverage to emerge in the back half of this year. Just wondering, as you kind of look ahead, how should we be thinking about the overall efficiency of the bank? And what your balance between longer term of the investments you continue to make and continue to reap benefits for you versus getting to that operating leverage event. Just wondering how you guys from a management perspective approach that?
Vince Calabrese: Yes, I can comment. The efficiency ratio, we've talked about the investments that we've been making and continue to make. And even with that, we continue to have an efficiency ratio that's in the top quartile. So, I think that's a focus for us and we've consistently every quarter last year we were in the top quartile, if not the top 2 or 3. So, that's kind of an underpinning to it. And then positive operating leverage as we move forward, I mean, as we get into this year, I mean, we've made the statement about the full year and really on both the dollar and a percentage basis and definitely getting there by the second half of the year. Some of that will be dependent on what happens with interest rates obviously, but what's baked into our guidance and what we're shooting for would be having that positive operating leverage for the full year with it really kind of starting to ramp up in the second half of the year. So we're disciplined managers of expenses, we've always been. So while we're investing, we're taking out anywhere from $10 million to $20 million in cost savings through the initiatives that I mentioned earlier. And it's again, it's a balancing act, but a lot of Vince's charge is always we're investing where we can grow revenue. So, we're not very mindful of the types of things that we're investing in. So it's clearly a focus for us and it'll be nice to return to positive operating leverage this year for sure.
Vince Delie: Yes, Kelly, as you know, we are still pretty dependent on net interest income. So that changes the interest rate as the slope of the curve changes and the interest rate environment changes. What we need to stay focused on is being as efficient as possible and getting the highest possible returns we can in capital and investment. And that's been our focus. I think from a strategic perspective, what's the catalyst to keep us sufficient moving into the future irrespective of the changes in rates. I'm very excited about automation, the use of AI, our ability to track in an automated way, the activities that are going on in operations. And we have a project underway as well to optimize the reporting within the operating units that we have, which should produce pretty significant results as we move forward from an efficiency perspective. So being able to monitor thousands of actions that occur every day in our operations area, that's going to help us in the future develop tools from an AI perspective that will help us drive efficiency. So there's quite a bit of technology that's coming that should help us from an expense perspective as we move into the future. Not here today, but it's coming and we're preparing for it. So you asked kind of long term strategically, that would be my answer. I think there's a tremendous opportunity in the industry not just with F and B to take expense out of the operations area.
Kelly Motta: That is incredibly helpful. And I apologize if you've touched on this one earlier in the call. But given the change in administration, have you seen any greater optimism among your commercial clients and willingness to make investments and perhaps draw on lines of credit or undertake new investments that would necessitate new loans? Or is it still just too early to see any kind of change there?
Vince Delie: No, I think based on the conversations I've had with clients, I think they're more optimistic about the conditions for business as we move forward. Obviously, there seems to be euphoria about it. I think that we're starting to see the beginning of planning for capital investment, which leads to increased demand. And I particularly again, I'm excited. I think the things that I spoke about for us also applies to other industries. And because of those gains in efficiency, there should be increased profitability and the ability to deploy capital and receive higher returns right on investment. So I think over time, we're going to see a building of demand for particularly C&I opportunities.
Vince Calabrese: And our customers doing acquisitions, right?
Vince Delie: Yes. And customers pursuing M&A transactions, that's the other side of it. We haven't everything kind of just died, right? Everything just stopped. And I think we'll see more M&A activity within our customer base and in the markets that we serve, which will lead to opportunities for us because that creates opportunities for us to participate in the credit facilities and provide capital market services. I think the investment banking platform that we're launching for middle market companies is also the perfect time, because I think you'll see more activity even in the lower end of the spectrum and that will create opportunities for us to benefit from the advisory fees, but also to roll the proceeds of the sale into our wealth platform. So I think the investments we're making given the time that we're in and where we are in the cycle, I think are pretty smart. So I hope it all pays off and works out the way we expect it to. I think there is more demand.
Kelly Motta: I appreciate all the color on all fronts. Thanks, guys. I'll step back.
Vince Calabrese: So one other thing I should talk about on to Kelly was just the we've talked about the swaps that are rolling off and that's a positive to this year. That's been about a $10 million a quarter drag to net interest income and those have began to roll off $250 million -- there's $1 billion in total $250 million a quarter. The first one rolled off on January 1 and the rest of them May, July October. So that $10 million a quarter drag will be going away as you go through the year. So that's also additive to net interest income as we get into the second quarter, third quarter, fourth quarters.
Kelly Motta: Thank you so much.
Operator: Our next question comes from Manuel Navas from D.A. Davidson. Please go ahead with your question.
Manuel Navas: Hey, good morning. You might have touched on a little bit of this, but can you kind of talk about the cadence or the pace of NII and NIM across 2025, stable NIM in the first quarter, you have the cut in March June, where would it go from there across the year?
Vince Calabrese: Yes, I would just say, I mean, the fourth quarter feels like it's the bottom tier for us. So, as you look to the first quarter, we would expect it to go up, I don't know, a few basis points, 2 basis points to 3 basis points or so. And then really just gradually build as you go through the year with the March June cuts baked in there. And with the Fed going a little bit slower, another key point, we're still asset sensitive overall. We continue to organically move back to neutral from an interest rate risk standpoint. The delay slowdown in the Fed cuts is helpful in the short run for us because it helps you to catch up and manage the deposit cost down as I mentioned earlier. And we have, again that slide 15 does a good job of kind of talking about the different moving parts. But we have just to give you a few data points, we have $10 billion of liabilities that are re-pricing today. We have another $5.2 billion in CDs to mature in the next six months, $3.2 billion in the next three months at $453 [Ph]. We've been putting on CDs in the kind of $350 million to $360 million area. So that's positive there too. And then we have $1.1 billion of annual cash flows from the investment portfolio it's rolling off in round 3%, 3.04%. We're currently reinvesting in the $480 million to $490 million kind of area. So, those are some of the some of the levers going on. And then you have the loans, the $16 billion that are variable rate loans that are tied to SOFR or Prime. And, you know, with the Fed moving slower, we get the benefit of that, you know, in our in our net interest income. And in in our guide, that's our guide has that the two cuts height in there.
Manuel Navas: What's the sensitivities? Would you go towards the high end of your guide with less cuts? Is that the way to think about it?
Vince Calabrese: Well, if you have yeah. You have fewer cuts, for sure. In the short run, it's additive. So, you know, you still want those cuts because the short end to come down as you get into 2026 and beyond. But, yes, in the short run, it's additive to one less cut.
Manuel Navas: Okay. I heard the response on business optimism maybe not yet translating into loan growth. How are pipelines looking right now? And should we expect a little bit slower first start of the year in loan growth, or will it come in pretty strong from the start giving out the amendment is up and what's the regional tilt of that growth still towards the Carolinas?
Vince Delie: Yeah, I mean that's those are great questions. Last quarter when I was asked a similar question, I said that pipelines were down, which they are, continue to be. We went through the holiday season, the slower seasonal period for commercial banking is the end of the year, right? So pipeline still remain lower, probably 10% to 15% in variety of markets, pretty much across the board. But I expect that that's in the short term. I look at the 90-day pipeline more than I look at the long-term pipeline because that's what's more likely to come in, right. As you look at those pipelines, they're starting to build. I would expect momentum to build throughout the year, as I said on the last call, and we're expecting demand to pick up fairly briskly towards the second half of the year. And that kind of aligns with the normal seasonal cycle for C&I -- and C&I lending in particular, commercial banking. So that would be my expectation. This is typically a lower period. I would say from a geographic perspective, we're seeing we've seen continued growth in Pittsburgh because we're mature, we see opportunities here. So we continue to get those. In the Carolinas, we've had great traction. The pipelines are actually slightly better in the Carolinas, continue to trend in the right direction. So I would expect us to do well there. And then I think Mid Atlantic is trailing a little bit. As we move through the year, I think there's upside in those markets. So that's pretty much how we see the world, but it's still led by the Carolinas and our Pittsburgh operation are the big drivers for our pipeline moving forward.
Manuel Navas: What would be the potential upside if the curve continues to steepen in the back half of the year and how much is that already in the guidance? And I'll step back after this question.
Vince Delie: I'll let Vince answer that question but I don't think that we have upside baked into the guidance. And we look at the yield curve as it's sloped and we look at the forecast and we model out our guide based upon what we think is going to happen with rates. And as we sit today, the yield curve is still slightly inverted, right. I expect that to correct over time. And the more correction we have, the more impactful that is for banks in general. So I would look at it that way. I think in the short run, as Vince mentioned, there's also a lag associated with pricing on the liability side, right, when things shift. So if there are fewer rate cuts, that's going to help you in the short run, but in the long run, you're going to be stuck in a longer cycle with an inverted or flat yield curve. So it's kind of a tricky question, right. And there's quite a bit that goes into the modeling. I don't know if you want to add to that.
Vince Calabrese: Yes, I would just add going back to betas, right? So the better job we do managing the deposit cost down, obviously that can put you into the hierarchy of the range and that's clearly a focus daily, weekly, every weekly pricing we have. So that's something that the better we do, the better we do to outperform peers, that's additive to the net interest income, but it will be higher.
Vince Delie: Yes, but we're not taking we don't shift to take bets on interest rates. We're managing the book to neutral and we're just doing whatever we can, right, from a pricing perspective, from a client perspective, deposit mix. We do everything we can to try to optimize or maximize profitability in the environment that we're in. So that's how we operate. And I think you've got the guide and the guide is based on what we know today. We'll see how the year plays out.
Vince Calabrese: Yes, we've done a nice job as we've been growing deposits bringing in new relationships and as you broaden those relationships again that's very additive from a profitability standpoint and broadening the relationships as you get into this year and into next year. And the steeper yield curve clearly as you exit 2025 into 2016 is very much a positive for us.
Manuel Navas: Thank you for the commentary.
Operator: Our next question comes from Frank Schiraldi from Piper Sandler. Please go ahead with your question.
Frank Schiraldi: Good morning. Just a couple on first for Gary on credit. Just curious your thoughts on do we see continued normalization here in credit and your reserve has been very stable over the last few quarters. Just curious if you your thoughts on 2025 and maybe if that could be a potential tailwind, some reserve releases and any assumption on continued reductions in non-owner occupied commercial real estate?
Gary Guerrieri: Yes, Frank, In reference to where we sit today with the reserve, it has been extremely stable. And I think that's a reflection of portfolio as to where we sit today going into 2025 and the position of each individual portfolio within the total of all the assets. So in terms of looking ahead, I mean, we've guided to fairly stable type of provision expenses. We are extremely aggressive in managing the book of business and we feel good as to where it sits today. We were aggressive in Q4 around the position of the book. So we feel good about where we have it positioned at the moment and we'll continue to work through the existing environment that the industry is facing. In terms of CRE, during the year, just from a total non-owner occupied CRE standpoint, the quarter I mentioned in my remarks, we were down $300 million just in that quarter. For the full year, it was in excess of $500 million And that was really centered around construction being down $370 million and office being down about $350 million. We're continuing to focus on moving the non-owner exposure as a percentage of capital down. So I would expect to see that continue as we move forward. The secondary markets opened up quite a bit. We saw some assets move there, which is what we expect them to do. So that surely is a positive event as well. And we do see that continuing as we move through the year.
Frank Schiraldi: Okay. I appreciate that. And then just lastly, Vince, just curious your broad thoughts looking at the regulatory framework, the idea being maybe a little bit of a lighter regulatory touch in the new administration. Just curious your thoughts, does that just mean maybe a more streamlined M&A process for the industry and maybe a pickup there or do you see any specific potential benefits to reduce your expense burden here? You mentioned the heightened standards questions whether some of those thresholds maybe move higher. So just curious your broad thoughts there?
Vince Delie: Yes, I'm not sure that the impact of banks our size will be immediate in terms of expense reduction. I think that given the bank failures that occurred several years ago, the demeanor of the regulators shouldn't change materially in the short run. I think in the long run, as the administration carries on, I think we'll see some relief. I think the relief is mainly -- I just -- I believe that the previous administration was anti M&A kind of across the board. So a lot of the policies that were imposed and the regulators were enforcing rules that prevented banks from doing M&A, I'm convinced of that. I think that will ease up. So I think it will permit, not just in the banking sector but across the board, permit more M&A to occur, which is why I would want to be an investment banker today, not a few years ago. I think generally, the risks associated with operating a large institution aren't changing and the rigor in which the regulators pursue enforcement of regulations that are on the books isn't going to change materially. I think that will be pretty steady, particularly with the OCC and the regulatory bodies have been more consistent than the application of the rules. I think what's going to go away are the enforcement actions in some of the things that happened kind of outside of the normal risk management safety and soundness regime. I think there seems to be a different appetite for those types of moves by the regulators under this administration. So I think for the large, large banks, they'll see some relief. They've talked about Basel III changes to capital requirements and liquidity requirements. Obviously, those changes trickle down to us, but the immediate impact is for larger institutions. That's kind of my view. I think we'll see some relief, but it's not going to result in material reduction in expense. I don't see that happening. So, not in the short term.
Frank Schiraldi: Thank you.
Operator: Our next question comes from Brian Martin from Janney Montgomery. Please go ahead with your question.
Brian Martin: Hey, good morning, guys. Just one question on kind of current I think you talked about the deposits, Vince, but just on the loan yields, just kind of competition, kind of what you're seeing there in terms of yields today? Can you give a little color on how those are trending?
Vince Calabrese: Sure. I mean, if you look at the new loans that we made during the Q4, it came on around 6.5%. We've been that's kind of where we've been putting loans on the books for the last couple of months of November December. So it's down from the prior quarter, 30 basis points or so. But at a 6.5 percent rate, it's still 66 basis points greater than the overall portfolio yield. So, it's clearly still additive to that. But that's kind of where we're putting kind of with the blend of loans that we're putting on the blended rate right around that stage and the half level.
Brian Martin: Got you. Okay. And then just in terms of the opportunities on the capital side, I guess, can you talk about weighing the share buybacks versus kind of the potential, I guess, on the M&A side just in terms of if we do think about M&A, there are opportunities this year. Can you just remind us on that front if it's more a it's just kind of the earn back that you guys will be looking for? And then just in terms of would any potential deals be more smaller and additive to an existing market or is it more you're looking to get to a new market? I mean, the markets you're in are pretty dynamic. Just wondering if your expectation would be to be looking somewhere new or just kind of filling in kind of like maybe some of the more recent ones on that front, so?
Vince Delie: Sure. As I've said before, we haven't really changed our position from an M&A perspective. We would entertain opportunities. We're not looking for transformational transactions. I think the company is pretty well positioned in some fairly dynamic markets. We have some work to do internally, right, to ensure that we generate the returns that we can achieve in those markets and manage risk. So I think from our perspective, we're focusing -- still focusing internally. We think we can get some pretty significant growth out of the existing footprint and grow some very profitable businesses that will help us from a return perspective. And then in terms of earn back in the event that we were to find an opportunity that was appealing to us, we would expect a very quick return on tangible book value dilution. So, I'd say continue look within three years, right. Returns would have to be substantial. We look for internal rates of return in high teens, 20s. The ability to take cost out fairly effectively, efficiently. And then looking at the deposit franchises, we would not want to dilute. I've said this before, we built a pretty strong deposit franchise with a healthy demand deposit mix. We're not looking to dilute that. We're also trying to manage our efficiency ratio. So if we did something, we want to make sure that we could take substantial amount of cost out. I've mentioned that. From a credit perspective, in terms of the portfolio, we're not looking to grow CRE exposure, right. We've been reducing that over time. I think we're better than peers, right. When you look at it relative to Tier one capital, right, Gary, concentration perspective. We're looking to continue to improve that focusing on more and larger C&I opportunities, which produce a high return for us because of the capital markets fees and lower risk profile. From a loan-to-deposit perspective, as I mentioned, we brought that down fairly significantly. We would like to continue to do that. So as we move into the more robust part of the year from an economic expansion perspective or loan demand perspective, we have the liquidity and the capital to be a player. I think we're moving in the right direction to position us to really take advantage of the changes that are occurring economically. And I feel really good about where we are. And that's kind of the strategy. So I'm not fixated on M&A, I don't think that's the only answer. And then again, we do look at share buybacks, if it makes sense, if the earn back is reasonable and it provides us with the EPS accretion. We're looking at the dividend every quarter, we examine what's happening, what are our capital needs. We're not going to sit here with excess capital either. So, depending on how things play out, we're going to look at that as well. So, we kind of look at each area and we look for optimal deployment of capital for the shareholders. That's been our mantra and we're going to continue to do that.
Vince Calabrese: Yes, with CET1 ratio at 10.6% and the expectation to have higher levels of earnings, higher level capital generation, it gives us more flexibility to pursue the things that Vince mentioned. With our stock valuations still very attractive, share repurchase is definitely part of the consideration.
Vince Delie: But that's not -- the capital is not burning a hole in our pocket, right. We're not running out to deploy the capital. We want to make sure we made really smart decisions that position us to take advantage of opportunities in the marketplace that provide the shareholders with the absolute best returns. We're not looking to change the risk profile of the company or change I think we're operating very effectively and improving over a long period of time that we can produce results that are better than peers. So that's going to be the focus. Hope that's helpful.
Operator: And ladies and gentlemen, at this time we'll be ending today's question and answer session. I'd like to turn the floor back over to Vince Delie for any closing remarks.
Vince Delie: Well, thank you very much. I appreciate all the questions and the interest in FNB. We continue to be very optimistic about the momentum that we've created. We had a pretty solid year in a choppy environment. So kudos to the management team and to the employees for all the work that they've done. And I can't think of a better place to be the last 20 years in here. So it's been very exciting. You've thrown a lot at us, a pandemic, a financial crisis, liquidity crisis, bond crash. But we're here, we're surviving, we're doing really well. And I appreciate my team. They've done tremendous things. No matter what the circumstances are, we rally together and we get things done. And I couldn't ask for a better career or group of people to work with. So thank you very much.
Operator: [Operator Closing Remarks].